Operator: Thank you for standing by. This is the conference operator. Welcome to the Baytex Energy Corp Second Quarter 2022 Financial and Operating Results Conference Call. As a reminder all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions.  I would now like to turn the conference over to Brian Ector, Vice President, Capital Markets. Please, go ahead.
Brian Ector: Thank you, Sachi. Good morning, ladies and gentlemen, and thank you for joining us to discuss our second quarter 2022 financial and operating results. Today I am joined by Ed LaFehr, our President and Chief Executive Officer; Rod Gray, Executive VP and Chief Financial Officer; and Chad Lundberg, our Chief Operating and Sustainability Officer. While listening, please keep in mind that some of our remarks will contain forward-looking statements within the meaning of applicable securities laws. I refer you to the advisories regarding forward-looking statements, oil and gas information, and non-GAAP financial and capital management measures in yesterdayâs press release. All dollar amounts referenced in our remarks are in Canadian dollars unless otherwise specified. And with that, I would now like to turn the call over to Ed.
Ed LaFehr: Great, thanks Brian and good morning everyone. Iâd like to welcome everybody to our second quarter 2022 conference call. As everyone is aware yesterday we announced that I will be retiring in January of 2023. Iâll save my comments on the retirement to the end, because I really want to focus on the business at hand and the momentum we continue to build both operationally and from a shareholder return perspective. Itâs business as usual and we have an exciting story unfolding. During the second quarter, we remain focused on capital discipline, generating free cash flow and reducing debt. We delivered strong operating and financial results with production of over 83,000 boes per day, record quarterly free cash flow of $245 million and a further 12% reduction in our net debt to $1.1 billion. We continue to execute our 2022 plan with production guidance unchanged at 83,000 to 85,000 boes per day and we expect to exit 2022 producing approximately 87,000 to 88,000 boes per day. Our 2022 exploration and development expenditure guidance is unchanged at $450 million to $500 million. Like everyone in the industry, we continue to experience inflationary pressures in our business and in our case, particularly in the Eagle Ford. As a result, we anticipate full year capital expenditures will be toward the high end of our guidance range. We have also fine tuned several of our cost assumptions to reflect increased royalties due to higher commodity prices and further inflationary pressures on operating and transportation expenses related to labor, fuel, electricity and hauling. This should come as no surprise, but as an organization, we remain intensely focused on capital discipline and maximizing free cash flow. Based on the forward strip, we expect to generate approximately $700 million or $1.25 per basic share of free cash flow this year. What is most exciting is that our improved financial position has enabled us to implement the first phase of our enhanced shareholder return framework. We are now allocating 25% of our annual free cash flow to a share buyback program. During the second quarter, we repurchased 9.1 million common shares, representing 1.6% of our outstanding shares at an average price of $6.88 per share. And we have remained active here in July. The remainder of our free cash flow continues to be allocated to debt reduction. As our de-leveraging continues at a rapid pace, we are pleased to announce the second phase of our shareholder return framework upon achieving a net debt level of $800 million in late 2022 or early 2023. We anticipate increasing direct shareholder returns to 50% of our free cash flow and accelerating our share buyback program. We continue to view our shares as undervalued in relation to our current operations. We have also established an ultimate net debt target for the company of $400 million, which represents an expected net debt-to-EBITDA ratio of one time at a US$45 WTI price. We feel this level of net debt will provide us with full flexibility to run our business through the commodity price cycles and generate meaningful returns to our shareholders. At current prices, we expect to achieve this net debt level by the end of 2023 or early 2024, at which point we will consider steps to further enhance shareholder returns. Operationally, the highlight of our business continues to be our Clearwater Development at Peavine. This is an asset that a current commodity prices generates amongst the strongest economics within our portfolio with payouts of less than three months and has the ability to grow organically while enhancing our free cash flow profile. During the second quarter, our Clearwater production averaged 7,300 barrels per day up from 3,200 barrels per day in Q1. Production during the second quarter was curtailed by approximately 650 barrels per day, due to spring breakup and road maintenance that took the 425 pad offline for two weeks in May. Production in June averaged 9,100 barrels per day from our 18 producing wells. In Q2, the remaining four wells from our 10-well first quarter drilling program were brought on stream and the 10 wells have now established an average 30-day initial production rate of 772 barrels per day per well and four wells generated 30-day IPs of over 1,000 barrels per day per well. Initial well performance continues to outperform type curve assumptions and we now hold nine of the top 10 initial rate wells drilled to date across the play. To date, we have de-risked 50 sections of land of our 80 section Peavine land base and believe the lands hold the potential for more than 200 locations. When combined with our legacy acreage position in Northwest Alberta, we estimate that over 125 sections of our lands are highly perspective for Clearwater development. Our second half drilling program kicked off in July and we expect to drill 14 additional Clearwater wells, including 13 wells at Peavine and one well at Seal that follows up a successful exploration well from 2021. The first two wells from the second half drilling program are scheduled to be on stream by mid-August. Maintaining a consistent one rig program and level loading activity in the second half of 2022 will drive further efficiencies and set the stage for continued strong operating momentum heading into 2023. While we are confident that Clearwater production will increase to approximately 10,000 barrels per day during the five-year plan, we believe the play ultimately holds the potential for over 200 drilling locations that could support production increasing to over 15,000 barrels per day. Our current five-year cumulative free cash flow forecast for the asset is $400 million. With a strong outlook for 2022 unfolding, I want to now turn the call over to Rod, who will provide a brief update on our liquidity and capital structure.
Rod Gray: Thanks, Ed, and good morning, everyone. Our liquidity and capital structure have never been stronger. And with the established debt targets we now have in place, we are building a business that will be resilient throughout the commodity price cycles. As we previously disclosed, we received strong support from our lending syndicate early in Q2 to extend and amend our bank credit facilities. Our revolving credit facilities were extended by two years from April 2024 to April 2026 and have been increased to US$850 million. The revolving credit facilities are not boring based facilities and do not require annual or semi-annual reviews. On June 1, we redeemed the remaining US$200 million principle amount of the 5.625% long-term notes due 2024 at par. Following this, our net debt, which includes our credit facilities, long-term notes and working capital totaled $1.1 billion at June 30, 2022, down from $1.4 billion at December 31, 2021. Our only remaining long-term note outstanding at quarter end was our US$500 million principle amount 8.75% notes due 2027. As ED mentioned, we anticipate hitting our $800 million debt target late in 2022 or early in 2023. The timing of when we reach this debt level will largely be dependent on oil prices for the remainder of the year. As of June 30, 2022, we had $582 million of undrawn capacity on our credit facilities. resulting in liquidity net of working capital of approximately $600 million. And with that, Iâll turn the call back over to Ed.
Ed LaFehr: Thanks, Rod. We are incredibly excited to be in this position today. I also want to highlight our 2021 ESG report and our inaugural TCFD report both were published yesterday and are available on our website. Since 2012 we have proudly reported on our activities to reduce our environmental impacts, promote the safety and wellbeing of employees, contractors and communities and ensure effective governance. We remain focused on key ESG initiatives, including GHG emissions reductions, abandonment and reclamations, strong and mutually beneficial indigenous community relations, safety and climate risk management. Our focus on ESG is essential to drive sustainable outcomes and long-term viability, alongside shareholder returns. I would encourage everyone to read through the reports as they contain a tremendous amount of information and give great insights into the Baytex team and our culture. Something I am immensely proud of. Iâll close with just a brief comment on my retirement. I have provided the Board with notice of my intention to retire in January of 2023. This is not a surprise to the Board. And to help facilitate this process, the Board has established a succession committee and engaged an executive search firm to identify and evaluate both internal and external candidates for the role. I plan to work with the Board to ensure a smooth transition as we continue to build operational momentum and drive shareholder returns. I am pleased that Baytex is extremely well positioned for the future. And at the same time, I am ready to move to the next stage of my career. Our business is strong and we look forward to executing our plans for the ongoing benefit of all stakeholders. And with that, I will ask the operator to please open the call for questions.
Operator: Thank you.  There are currently no questioners. Iâll turn the call back over to Brian Ector for any closing remarks.
Brian Ector: All right. Thanks. I think today weâre we happen to pick a time where thereâs a number of competing conference calls for the investment community. So, we certainly do appreciate everyoneâs interest. I do see, we do have a call on the line now â so weâll take that call.
Operator: Sounds good. We have a questioner from Josh Young from Bison. Please go ahead.
Josh Young: Great, thanks. Thanks guys. I was just a little late to hit the number pad there. So, I guess with Ed retiring, which Ed, by the way, I think you did a great job and steered the company through really difficult times. And obviously the results are apparent to everyone. I guess my question is with Ed leaving, does it make sense for the company to be doing some more sort of bigger review of alternatives, maybe either putting the Eagle Ford up for sale, just to see sort of, if thereâs some accretive transaction do there to potentially put the company again, like with excellent leadership leaving using a team to try to find someone else versus sort of reviewing maybe the business holistically. It seems like itâs at least worth considering. And I thought Iâd ask
Ed LaFehr: Well, thanks Josh for the compliment and the question. Iâm not going anywhere until January 2023. So that takes us through the strategy review with the Board. It takes us through the 2023 plan cycle, and then we announced the plan to market in December. And all I can say about that is the board is extremely complimentary and also supportive of our plan as we outline today, which includes the assets that we have in our portfolio, generating the free cash flows. The de-leveraging the shareholder returns that are in our portfolio and anything in the future is, thatâs a fairways off. We want to stay with the momentum we have and continue to build on that. So thatâs all I would say on that, Josh. Weâre not looking at any big A and D right now, we donât need to, we have got our hands full with the organic development in front of us.
Josh Young: Okay. That makes sense. And then as a follow up and I think Iâve asked this before on prior calls the stock price is up, I think since then. And that was sort of one of the indicators for potentially renewing U.S. sort of major exchange listing. And Iâm interested in your guys thoughts on that, to the extent that thereâs have changed.
Ed LaFehr: Yes. We have no plans right now to try to regain our listing. Weâre in a good place now. Weâre getting a lot of liquidity. Weâre seeing a lot of liquidity on the TSX and other exchanges in Canada. Weâre seeing a lot of people buying our shares from the U.S. as well. So there are no plans to reinstate the NYSE listing at this point in time, but we reevaluate that every year or so.
Josh Young: Great. Thank you.
Operator: There are no further questions at this time.
Ed LaFehr: All right. Thanks  and thanks everyone for participating in our second quarter 2022 conference call. Have a great day
Operator: This concludes todayâs conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.